Executive: Fred Green – President and CEO Janet Weiss - Assistant Vice President Industrialization Kathryn McQuade - Chief Operating Officer Marcella Szel - Senior VP of Marketing and Sales Mike Lambert – Chief Financing Officer Brock Winter - Senior Vice President Operations Brian Grassby - Vice President and Comptroller
Analyst:   Cherylin Radbourne - Scotia Capital Randy Cousins - BMO Capital Markets Thomas Wadewitz - JP Morgan Jacob Bout - CIBC World Market Walter Spracklin - RBC Capital Markets Kenneth Hexter - Merrill Lynch Ed Wolff - Wolff Research [Cecilia Comia – Platz]  
Operator:
r:
Janet Weiss: The presenters today will be Fred Green, our President and Chief Executive Officer, Kathryn McQuade, Chief Operating Officer, Marcella Szel, our Senior VP of Marketing and Sales, and Mike Lambert, our Chief Financial Officer. Also joining us on the call today are Brock Winter, Senior VP of Operations and Brian Grassby, VP and controller. Before we get started, let me remind you that this presentation contains forward-looking-information. Actual results may differ materially. We make reference to assumptions used in our guidance and we provide sensitivities to these assumptions in the appendices which can be found in the last section of the presentation material. The risks, uncertainties and other factors that could influence actual results are described on slide one in the press release and in the MBNA filed with Canadian and US Securities Regulators. Please read carefully as these assumptions could change throughout the year. All dollars quoted in the presentation are Canadian unless otherwise stated. This presentation also contains non-GAAP measures. Please read slide two. The slides are available on our website so please follow along. Here then is our President and CEO, Fred Green  
Fred Green: Canadian Pacific experienced a challenging second quarter with rising fuel prices significant fuel recovery, economic softness, and Midwest flooding. These challenges overshadowed positive pricing gains and steady progress in operational fluidity. This morning, we updated our guidance to reflect a higher fuel price outlook for the balance of the year and the softening economy. I characterized the fuel issues as temporary with enormous effort underway to speed the transition to a fully responsive program that achieves 100% coverage of fuel expense. Excellent progress is being made across all business groups. The revenue impact of the economic slow down will not be recovered in the short-term. So I have accelerated the initiatives that we introduced at last fall’s Investor Day. I temporarily assigned our Senior Vice President of Operations Brock Winter to a full-time role, to drive expedited delivery of improvement in efficiency, productivity, and yield across the breadth of the Company. Daily comments will be reflected in the Fall Investor Day but the combination of far-better fuel recovery in expedited and broader efficiency deliverables will certainly position us for more successful 2009. With that, I am going to turn it over to the team and come back to wrap up with some closing thoughts. Kathryn, over to you to discuss the ops performance.
Kathryn McQuade: In Q2 we achieved improvements in operational fluidity. We focused on improving train speed and terminal dwell while keeping a tight reign on our mobile assets. It was a difficult quarter to manage with falling volume impacting train links and weights on our merchandise trains. We are continuing to adjust for volume changes and I am confident you will see further improvement in our fluidity and efficiency.
 : Please turn to slide seven. This quarter, saw our train speed improved by 2% and active course online improved by 6%. However, terminal dwelling core miles per day both came in flat. We started off the quarter with a strong recovery from winter and improvements across our entire matrix. But flooding in the US Midwest took our main line out of operations between Minneapolis and Chicago for 20 days and seriously disrupted our network. Typically we operate 20 trains per day on this quarter. In response, we retooled our integrated operating plan, used detours of other railroads and reroute the traffic north of the Great Lakes to keep shipments moving. This line outage and detours increased our active course on line by over 2,000 and negatively impacted our terminal dwell in car miles per day. This added an additional $3 to $4 million in cost. With the outage behind us we are back on our plan and I am confident you will see continued improvement in our fluidity. Turning to slide eight, we clearly have the near term challenges and we are attacking the operational issues associated with the flaw in economy and rising fuel cost. In the quarter, our operating expense, excluding fuel and foreign exchange impact was up by 2%. This was largely driven by higher purchase services at a resource sizing and preparation for the expected volume growth in the fourth quarter. Headcount was up versus 2007, largely due to the distortion created by last year’s strike of unionized track maintenance employees in Canada. We are focused on improving productivity and supplementing our IOP initiatives with an intense focus on fuel conservation. Some of the things we are doing to reduce our fuel consumption rate include the focus on train handling, train design to ensure that we are operating at optimal horse power per ton ratio and shutting down everything when it is not needed, not only locomotives but all of our vehicles as well. In addition to our fuel conservation activities, we are implementing more productive boat train models. Such as a pilot, we will initiate to run a 140Q Car Potash train to reduce train start, a 15% improvement in productivity. We are also adjusting our IOP weekly to renew train starts in line with volume changes. We had a challenging quarter and we are actively adjusting our IOPs to address the softening merchandize business while at the same time planning for an expected strong fourth quarter in bulk. We will drive hard to accelerate our cost initiatives and implement productivity improvement. Finally, I would like to give you an update on our DM&E activity. Please turn to slide nine. This past quarter we cross two key milestones. The STB determined that public hearings were not required and the deadline for submissions of final brief had passed. We have encountered no surprises and the STB should render a final decision by September 30, 2008. If approved, the effective date for controls will be October 30, 2008. We continued to work with members of the DM&E teams to plan for its smooth transition. I look forward to reviewing the final decision with you next quarter.
 :  
Marcella Szel: In Q2, we delivered 5% revenue growth before FX. Price, including fuel, was the major driver, offset in weaker volume due to the soft North American economy. Looking at the second half of the year, commodity fundamentals remain solid based on global food and nutrient markets and continued strength in coal. Alberta’s energy oriented economy is also delivering consistent growth. However, with WTI at historic highs and a vulnerable North American Economy, the depths and duration of the current slow down remains a significant uncertainty. I will now review the current quarter and our outlook by market area. All numbers exclude the impact of foreign exchange. We are turning to slide eleven. Grain revenue with a loss closed to 6% due to two factors. First, a 4% decline in car loads compared with 2007. Second, a reduced regulated grain revenue entitlement based on the Canadian Transportation Agency segue 19th position. We are progressing with our legal challenge to this position. However, our Q2 reported grain revenues reflect the reduction of $2.59 a ton. As adjustment is not expected until the New Year, we are modeling this impact through the balance of 2008 and for the second half, remodeling the 2008-2009 crack year at 44.5 million metric tons, slightly below the average. We were encouraged by reports, particularly good conditions in the Southern part of our Canadian draw territory. Turning to coal, we had another solid quarter up 7%. We moved 4% more tonnage for Elk Valley in Q2. Export pricing now reflects the year-over-year gain following our rate increase on April 1, 2008. We continue to model about one-and-a-half million export tons over the 2007 actual volume and we are progressing work on our upcoming Elk Valley contracts renewal at the end of Q1 2009. Oakland Fertilizer Revenue was down 1% with units 13% lower. The lower units’ year-over-year is the result of tough compared to record potash volume in Q2 2007 due a carry-in from a difficult first quarter. An early maintenance turnaround this year at a major potash mine and the reduction in sulfur volume due to declining Southern Alberta sour gas production, our strong export potash volume over the balance of the year will be largely offset by other mix changes. Most notably the decline in sulfur, revenues will be up close to 10%. The CAMSA TECH announcement to invest in ports to almost double their capacity adding 11 million tons of port capacity by 2012 is a world co-affirmation of the continuing great prospects to this market. As its Potash Corporation of Saskatchewan’s announcement last week of their plans to further increase their plant mine capacities now targeted at 18 million tons up from 10.2 today. In forest products, overall revenues were up 15% from the quarter due to lumber and panel products. Our outlook reflects the 10% decline for the full year with easier comps in the second half. As a recurring and sharp contrast, industrial product was up 23% reflecting the continued strength in the Alberta energy economy for products that compensates on aggregate. Expect industrial products to continue to produce strong year-over-year volume gains and my team will deliver leading price results as well. On the automotive side, revenues were up 3% despite lower volumes due to weak US sales and the impact of the American axle strike on General Motor. Price, fuel, and new long coal revenues within the mix, resulted in the net gain in Q2. Full year revenue expectations remain below 2007. Intermodal was up 11%. Both domestic and international saw a modest volume gain but the key driver was price, primarily fuel. I expect intermodal to deliver some year-over-year volume growth but in a very challenging market place. With higher bunker fuel cost, we have seen shipping lines rationalizing routes and low margin business, a domestic assault of the North American economic impacts in areas such as building products. Now, turning over to slide 12. Our revenue breaks out as follows. Price, including fuel, was the key component of 9.6% with our fuel surcharge delivering about half. The CTA grain provision takes us down 1.1%. Volume and mix is -3.4% and FX reduced revenue by 3.5%. This leads to the own and reported revenue growth of 1.6%. Now, over to slide 13. Contract renewal continues to deliver solid results with 7.4% of the quarter, now 6.5% year-to-date. The effects in fuel, the fundamentals of our programs are improving. While the few legacy contract limits responsiveness, we have accelerated our work with some success to address this situations as Ted highlighted. We will be better positioned in 2009. Base price results and fuel revenue are showing through average revenue per car and (14:24 unintelligible) up to 7% and 8% respectively on the quarter before FX impacts. So in summary, it is a challenging quarter. Looking forward, the economic slowdown is impacting intermodal merchandise. However, demands for both remains strong. I expect stronger second half volumes versus 2007 and primarily in Q4. And with the impact of higher fuel revenues, I have raised my expectations for 2008 revenue growth to 68%. Now, I will turn it over to Mike for the financials.
Mike Lambert: As always I will walk you through the second quarter and give you an update on our outlook for the remainder of the year. This quarter, we again faced record highs in fuel with WTI up of 80% and crack margins up over 60% versus last year. After including fuel surcharges and delay, the net EPS impact on us was $0.12 in the quarter. Other notable items in the quarter included the flooding in the Midwest and the reduction in our grain revenue entitlement by the CTA. Removing these three impacts from our operating ratio would leave us flat with Q2 2007, an incredible accomplishment considering the challenges we faced. Now, turning to the details, I will start with our income statements on slide 15. For this chart, I will focus my comments on the FX adjusted variances which are highlighted in the far right column. Total revenues were up 4%, while operating expenses decline 10%. As a result, operating income fell 16% with fuel and the economy as primary drivers. Looking below the operating income line we gained $13 million after tax from the DM&E. Interest expense increased 35% consistent with our expectations. And income taxes fell by 36% due to lower earnings and lower tax rates in Canada. Now, on slide 16, I will reconcile our Q2 EPS starting on the left with the price of fuel which was our basic headwind and cost us $0.43 before any revenue offset. Next, the flooding in the Midwest which left our mainline out of service for about 20 days cost us approximately $0.03, the flaw in North American economy continued to impact our volume and mix story as automotive and port products both stop car loads fall by more than10%. Overall, our car loads were down by almost 2% which is substantially below our expectation going into the quarter but this 2007, volumes and mix, net of expenses cost us $0.11. Next, other revenue was down $0.06 as a result of fewer land sales and finally, casualty cost were up costing us $0.04. Now, looking at the positives. The strike we are facing in Q2 last year gave us a $0.04 tailwind. Price including fuel offset by the CTA grain adjustments added $0.45. The DM&E contributed $0.04 which is inline with our guidance of $0.15 to $0.17 for the year. Finally, all other, including changes in the province of Manitoba tax rate and the impact of FX cost us a $0.01. Overall, we ended the quarter at $0.97. Turning to slide 17, and a more detailed look at our operating expenses. I will focus my comments on the FX adjusted number shown on the chart. On the right side, you will see the recorded variances which include the impact of FX. Compensation and benefits were down 2% driven mostly by lower employee incentive program cost and lower pension expense. Squarely the single largest impact this quarter was fuel which was up 42%. Material costs were up 6% due to higher input cost most notably the cost of fuel for our highway vehicles. Equipment rent improved 12% due in part to higher recoveries on locomotive. Including productivity improvement, I expect equipment rents to remain in the $45 to $50 million range for the remainder of the year. Appreciation and amortization was up 6% which is in-line with our expectations. Purchase, services, and other were up 12% due in most part to higher casualty cost. Although our safety performance was excellent, we did save a few costly insurance and had some true ups from incidents in previous quarters. The low end operating expenses were up to 10%. Now, before I move to our outlook, let me sum up the quarter. On the top line, volumes came in lower than we have planned. On expenses, fuel was the bigger headwind than we anticipated. Not only did both of these items affect the quarterly result, they also affected our outlook for the balance of the year but now turn to slide 18 and I will tie everything together. Total revenues are expected to be up between 6% and 8%. This includes a large lift from fuel revenues off set by a lower car load estimate, particularly in forest products and automotive. Total operating expenses are expected to be up 11% to 13% due, again, to the rising price of fuel. This includes updating four-year-assumptions around crude oil to $US121 per barrel to a $US140 for the second half. And crack margins to $US23 per barrel. That is $US27 for the second half and our all-in cost to between $US3.80 and $US3.90 per gallon. With these headwinds we will continue to focus on driving pricing gains and strengthening our fuel recovery and cost management program. That will not be enough to offset the challenges we are facing. And with that, we are updating our guidance to reflect our higher fuel cost assumptions and the deteriorating North American economic conditions. We now expect our full year adjusted diluted earnings per share to be in a range of $4 to $4.20. Looking at capital, our guidance range is unchanged although we are continually evaluating and reprioritizing these plans. With the lower earnings, I now expect free cash flow to be approximately $150 million for the year. All of these numbers are based on a full-year tax rate of between 26% and 27% excluding the impact of DM&E equity pick up. And with that I will now turn it back to Fred.  
Fred Green: The long-term fundamentals of the rail industry and CP remain very sound and the DM&E continues to perform in line with our expectations. I will not repeat my opening comments but let me reinforce my commitment to overcoming the current obstacles and getting back on track to our sustained pattern of creating value for our share holders. Now, I will turn it over to Luke and we will take some questions.
Operator: (Operator Instruction) Your first question comes from Cherylin Radbourne of Scotia Capital. Please go ahead.
Cherylin Radbourne - Scotia Capital:
 : Thanks very much and good morning. I wonder if we could get some commentary from you. We have heard about how the Midwest flooding impacted CP zone operations. Could you just speak to how the DM&E and the IC&E were impacted by the flooding and whether they fully recovered their operations as yet?
Kathryn McQuade:   Yes. Thank you. DM&E did have some line outages particularly on the ice property. However they are back in service as of several weeks ago and they are still on plan for the financial targets that they set us at the beginning of the year.
Cherylin Radbourne - Scotia Capital: Okay. And then just a question with respect to the confidence that you expressed in terms of the bulk volumes in the second half of the year. Can you just speak to what gives you confidence and visibility to those bulk volumes in Q4 particularly?
Marcella Szel: Sure. This is Marcella speaking. There are several factors that play into a – first, of course to the grain volume which come up with the new crop year. We expect the crop to come off a couple of weeks later than last year but we will be seeing those volumes through the second half particularly in Q4. Some of the issues that we saw with the Potash – for instance the Potash site, there was a significant mine shut down as I have mentioned, this quarter, which was unplanned and that will not, of course, not occur and so we will see more seasonal zed movement of the Potash volumes and we will continue to see the steady increase in the coal side through the second quarter as we planned.
Sharon: Okay. That is my two. Thanks.
Fred Green: Thank you
Operator: Your next question comes from Tom Wadewitz of JP Morgan, please go ahead.
Thomas Wadewitz - JP Morgan: Yes. Good morning. Let us see. Marcella, you referred to Legacy contracts in 2009 and – maybe I have missed some comments right at the beginning of the call but can you elaborate on that. I think you have implied that maybe you get a chance to take off right some of the Legacy contracts earlier than expected or that there might be some benefit in 2009?
Marcella Szel:
 :
Thomas Wadewitz - JP Morgan: So what – can you give us a few more thoughts on the magnitude of that? Is that kind of, 5% of your book of business or 10% of your book that this Legacy with inadequate fuel recovery?
Marcella Szel: Now, those Legacy contract were about 10% of the book, Tom, in total.
Thomas Wadewitz - JP Morgan: Okay. Alright and then the second one and I will pass it down to someone else. I wondered if you could, if Fred maybe comment a little more -- the outlook in second half seems pretty muted. I mean you are talking about bulk volumes being better and I think, we would say, all of the North American Railroads should be the least economically sensitive, and yet the outlook for second half seems pretty muted. So, is there, you are just trying to get guidance so it could bit more conservative or is the expense performances worse than you expect. I guess it is a little surprising to me that you would not have somewhat more constructive outlook even in fourth quarter given that the bulk outlook still seems to be pretty good.
Fred Green: We had to make an evaluation based on what we see happening outside the door and when we look at the lumber and panel sector, where volumes are down 39% as of this morning and when we look at the auto sector where there is – I do not know how that is going to unfold but it is clearly uncertain as to what plants will remain open and if so what the distribution patterns will be. Those are the two major sectors that we feel. Now, if I can have just maybe a broader perspective it would simply be that the US economy has been through a very tough time. The Canadian economy has been less affected. There is clearly a correlation between the demand in the United States and the activity in Canada to supply that demand. So, our belief is that there is no reason to believe at this point in time that we are going to see a resurgence of the economy in the second half and as a consequence, I don’t think I would call it conservative, I would simply say that we think it is realistic and if there is great news. If the economy grows by 2% in the US instead of maybe 1% or whatever the number maybe, then that is going to be great news for us because we have got the capability and the capacity and the resources that will enable us to leverage that and there would be more cars on the train. But I don’t want to get into a routine hoping that the economy will pick up and building a business case around that, so we are not doing that. What we are doing is saying, we accept it for what it looks like outside the door, if it gets better, great news. But we need to plan for the possibility to sustain or slightly deteriorate in that case we need to be focused on efficiency, efficiency, and when we are done with that we will focus on more efficiency.
Mike Lambert:
 :
Thomas Wadewitz - JP Morgan: Okay. That is helpful to see I guess it is a lot more the fuel than the economy sensitivity. Okay. Thank you for the time.
Mike Lambert: Thanks, Tom.
Operator: (Operator Instructions) Your next question comes from Randy Cousins of BMO Capital Markets. Please go ahead. Mr. Cousins, your line is open.
Randy Cousins - BMO Capital Markets : Good morning.
Fred Green: Hi Randy.
Randy Cousins - BMO Capital Markets : With reference to the DM&E, you guys basically indicated, I think this is supposed to be accretive after financing cost. But if I look at the results, year-to-date, you have got $24 million worth of contribution on net basis and if I just annualize that, that is like $48 for the full year on a $1.5 billion investment that does not look particularly accretive. Are you guys looking for just an absolutely bang-up second half or how are you supposed to think about sort of the contribution from the DM&E in the second half?
Mike Lambert:
 :
Randy Cousins - BMO Capital Markets : So, it is still $0.15 to $0.17 for the year? Could you give us some sense as to what you estimate the accretion to have been through the first six months then?
Mike Lambert: The first six months, I think we sized up on each on the quarterly calls. The last quarter, if memory serves, about $0.03 and this quarter about$0.04.
Randy Cousins - BMO Capital Markets : Okay. So, you guys are looking for a good bang on the second half?
Mike Lambert: That is right.
Randy Cousins - BMO Capital Markets : And then with reference to the fuel issue, let us look to 2009 because 2008 is a write off. You said that $0.30 is the hit. Of that $0.30 how much can you get back in 2009 if fuel prices just stabilize where they are today?
Mike Lambert: If they stabilize at where they are today I am sure we will have some joy in the second half. I do not know if you have been watching today. So, our assumption is 140 net. I think last I look it was below 130. So, let me at least mention that to you. But if it stabilizes at 140, let us call it, and then the lag impact next year will be nothing. So, if it stays where we have assumed this year, we will get no joy from the lag next year nor will we have an expense. But as both Marcella and Fred mentioned to you, we are working to get better recovery and better coverage on our fuel and so the impact next year could be significant.
Randy Cousins - BMO Capital Markets : But in terms of the $0.30, you said that the $0.30 is the reduction in your guidance, $0.30 of it is in fuel. Can you give us some sense as to looking into 2009, how much of that $0.30 you can get back from the customers by adjusting the fuel surcharge systems and just simply allowing the lag to catch up to the reality where pricing is?
Mike Lambert: As of – let me remind you. The sensitivity we put out there last quarter and what we are reaffirming this quarter, in terms of our recovery. We are recovering, when you exclude the impact of lag. We are recovering in the mid ‘80s in terms of percentages. By year end, essentially every contract that we have will have some sort of fuel recovery built into it. And for modeling purposes next year, I think on average you could still model about 90% coverage but the coverage is still imperfect in the sense that by year-end we are going to have 50% covered on crack and the balance on some sort of WTI metric and by next year are hoping to have 75% coverage on crack and of course the balance on WTI. So, for this year we have modeling that for every $2 WTI impact cost us a penny. Next year, that will go down and the lag of course, will affect everybody.
Randy Cousins - BMO Capital Markets : Okay. Great. Thank you.
Operator: Your next question comes from Jacob Bout of CIBC World Market. Please go ahead.
Jacob Bout - CIBC World Market : Good morning. The question on the fertilizer and sulfur division, I think you said previously here that revenues will be up by about 10% by year end. Have you factored in anything for the Potash strike at the three of Potash Corps’ mine and then does higher potash pricing playing at all for the improvement that you are expecting for the second half? What I am trying to gauge here is just your leverage here to Potash pricing.
Marcella Szel:
. :
Jacob Bout - CIBC World Market : Okay. And then my second question, just more of a general question. As far as the switch and freight volumes from truck to rail, what has been the impact that you have seen to date on your book of business?
Marcella Szel: We have been seeing some modest change moving from truck to rail in the shorter haul markets, Jacob. A lot of that is massed by the general economic environment because while that short-haul environment is also affected by the economy, the move is between the cross boards or the move’s particularly Canada and United States but we have been seeing some migration to rail.
Jacob Bout - CIBC World Market : Can you quantify what you think you are picking up as far as market share is?
Marcella Szel: You know, Jacob it is really tough for me to quantify just because we have also got the impact of the economy on those same sectors so it is very tough for me to do that.
Fred Green: Hey, Jacob. It is Fred. One of the things that is worth noting is that, the more sustained, the higher fuel prices are the greater the likelihood that people will make those kinds of choices to do a modal shift. People are hesitant to kind of abandon their supplier of choice which is sort we may have been trucks, for instance, the medium hall. But if it becomes apparent that the price of fuel is going to be sustained at a hundred dollars plus. I think after a couple of quarters of that experience, the decision makers in the shipping community are going to be much more prepared to make those leaps. Because there is a leap of faith to give up on our past supplier and move to different mode and I believe you will start to see that manifest itself as we go through the next couple of quarters.
Jacob Bout - CIBC World Market : Okay. Thank you.
Operator: Your next question comes from Walter Spracklin of RBC Capital Markets. Please go ahead.
Walter Spracklin - RBC Capital Markets : Thanks very much. Good morning.
Fred Green: Good morning.
Walter Spracklin - RBC Capital Markets : The first question I guess would be on your Canpotex announcement on the new supply. There was a great, great news item there almost doubling that. We are looking at Neptune and just wondering where yours is a Brownfield rather than any Greenfield project. Have you had any talks with Canpotex as to when they will be looking to roll that out and when you might see some impact from that and how long that time frame would be for that project and ability the Canpotex what you expect the Canpotex spend will be?
Marcella Szel: I would be happy to address that – let me just refresh you on the Canpotex side and that is, under the contract that we have with Canpotex today, they have committed 100% of their volumes to Canadian Pacific through to June of 2012. So we got a full four years of 100% of their volume and we currently move those export volumes to the ports of Vancouver and Portland. Now in terms of the volumes that we have moved, again to give you some perspective of the history of the Canpotex, in 2004 we moved about 8 million metric tons and in 2008 we expect to move about 10.5 million metric tons. So, over a four-year period we have seen a 30% bulk in the volumes. And again, we have got four more years in the contract to go through the ports of Vancouver and Portland where they do have capacity to grow. Their expected Brownfield, their announcement around their Vancouver expansion, if indeed as you say very exciting news, and we have been working with them and in discussion with them on how we can continue to position Vancouver and Portland for the majority of their volumes. Their announcement indicated that they expected to see the port in place by about 2012.
Walter Spracklin - RBC Capital Markets : Okay. What kind of CapEx would it be for you to get set up for that Brownfield expansion?
Fred Green: I do not think, Walter at this point in time that there is necessarily any capital requirement with regard to the Brownfield expansion. I never reject that possibility I guess if there is a business case to be had but our future interest in particular would be to ensure that we have sufficient capacity with regards to local motors and with regard to track capacity between the ports and the source of the product. So, we believe that it is very early. I mean, four years to run on the contract. So, we will get into dialogue, we are in discussion today and what comes out of that remains to be seen but I will not speculate other than making sure that with regard to the main line we will be there with capacity if that is what needed of us.
Walter Spracklin - RBC Capital Markets :
. :
Mike Lambert: Walter, it is Mike. I will take the first part of that just to level set everybody on the numbers. In terms of our FTE, the average is up 345 and the period end base was up 687. If you think back a year, our conference call a year ago, I saw it stop the impact of the strike and I said last year the impact on our average was 400 FTEs and on a quarter end balance it is 784 so we still have not come up to those levels. But essentially be argued that our FTEs on expansion basis and capital basis, we are essentially flat, up until at the end of the first quarter we have always had productivity gains. This quarter was very difficult to get productivity gains just because the volumes did not come in as we have planned. And maybe I will turn it over to Kathryn to get some colors.
Kathryn McQuade: Yes, Walter. This is Kathryn. Yes, I think I have mentioned in my speech that we did have some re-sourcing that we are beginning to do in this quarter in anticipation of our fourth quarter heavy bulk. So, you should see productivity improvement in the fourth quarter when the heavier volumes come in.
Walter Spracklin - RBC Capital Markets : Okay. That is great. Thank you very much.
Mike Lambert: Thank you.
Operator: Your next question comes from Bill MacKenzie of TD Newcrest. Please go ahead.
Bill MacKenzie - TD Newcrest : Thank you, Mike just a qualification on the guidance, so much to understand that it is right, that you guys had have about $0.13 of tax benefits year to date for the reevaluation of your income tax balance sheet and that $0.13 is included in the range. Is that correct?
Mike Lambert: Yes, it is, Bill. But in the first quarter in terms of our guidance in the first quarter we had some of that benefit already built in. You may recall that the BC tax rate was lower in the first quarter. That helped us in the first quarter. And the second quarter of course we had the Manitoba, tax benefits. That was a little bit less and so that is why I am saying that the economy upset somewhat by a reduced tax rate cost us a dime.
Bill MacKenzie - TD Newcrest:
 : Okay. And then the tax guidance of 26% to 27% for the year I guess includes that. So, next year, would you expect the tax rates to get back to that original guidance range that you are expecting prior to these benefits?
Mike Lambert: Yes, it is the short answer. The longer answer there is a couple of things. The two tax rate reduction B.C and Manitoba helped us by about 1.5% to 2%. That is a one-timer and the DM&E has a higher tax rate and so that will also have some upward pressure in terms of our tax rate. But the Canadian rates are coming down; it will be an off set. So, our original guidance this year is actually good for your model next year.
Bill MacKenzie - TD Newcrest : Okay. Great and just going back to the fuel recovery program as much in that roughly 80% of your business is covered by fuel recovery program covered by fuel recovery program and you expect that to get up in 90% next year. Just to be clear on that, is that 80% -- mid 80% of your business has some form of fuel recovery or 85% has got full recovery. So, for example, if you have a contract that might be tied to WTI but had a cap in it, would you include the full revenue benefit or just the portion that you are covering on or for example if you have contracts that are tied to CPI you might not get the full fuel recovery. Just help me understand that 85% and 90% number, whether that is based on customers or actual fuel exposure.
Marcella Szel:
 :
. :
Mike Lambert: Bill I will answer that. What I think you are getting at which is for every incremental dollar of fuel, how much do we get back in terms of fuel revenue? When you take the light impact both at current assumed WTI and assumed crack margins we are in the mid ‘80s in terms in that kind of recovery. I think that is essentially what you are trying to get at?
Bill MacKenzie - TD Newcrest:
 : Yes
Mike Lambert:
 :
Bill MacKenzie - TD Newcrest : Okay Great. That was helpful and just one follow up on that if I could. How much of that is based on monthly recovery programs versus any programs for example, cane regulated grain at price resets on one thing, how much of that mix of business would be monthly versus the annual resets?
Marcella Szel: Obviously you have hit one of the key areas Bill which is our regulated grain area but most of the book raps the coverage is around monthly program which, of course lags a month. We do have the Legacy contract which we spoke about earlier which represent about 10% of the book and then you got your regulated grain on top of that.
Bill MacKenzie - TD Newcrest : Thank very much
Operator: You next question comes from David Newman of National Bank Financial. Please go ahead.
David Newman - National Bank Financial:
 : Good morning folks.
Mike Lambert: Good morning David.
David Newman - National Bank Financial: He has mentioned in the – Bill said you are looking at a rigorous process to improve productivity efficiency in yield. Any specific areas that you are looking to address and any measures out there you are looking to take?
Mike Lambert: David, it would be a little premature with regards to the quantification. My commitment is that by the time we present in the fall, you will get a very definitive quantification. But you will recall that in the investor presentation last fall we introduced a series of initiatives that I would call preliminary. We had IOP and others that were real progressed, well quantified and we gave you either EPS or opening income benefits that we thought come of those. But we also introduced a few others. So, one of which was [Frances] finance ahead of the curve which was a complete reevaluation of the finance department, its processes, its efficiency, where technology could help us. We introduced engineering excellence. We believe as well we learned some things during the strike last year about how to get more off haul at phase time, work time on the track to make our people more productive by changing processes inside. We introduced another evaluation of how to be more efficient in the yard and we introduced lean approaches within the yards which were over and above the earlier work we have done in some of the yards. We spoke about railway of the future and how we though there were whole series of items with regard to inspection technologies, ECP breakings, fuel efficiencies, to things like trip-off the mines of other vehicles. And we also spoke about in-train repairs and how we can progress and push that harder and faster. So, those are examples, the point that I am trying to make David is that, culturally, I think my assessment is that while we are doing good work, the speed between concept and generation of benefits to our shareholders has been to slow and whether it is in operations finance yield or administration within this Company we need to elevate the speed and expedite the process between concepts and generating benefits for our shareholders. So, the initiative that we are pursuing and that Brock is assigned to full time, across the breadth of this Company is to shrink that timeframe and generate benefits. I hope and believe we will see some early benefits in the last half of the year but my primary focus, very candidly is to make sure we get ourselves in great shape so that we can really get a full year run rate of those types of efficiencies across the full year of 2009.
David Newman - National Bank Financial: So, it is Brock the line personnel and working in a capacity to really do operational, I know for lack of a better word,, audit and kind of new level of diligence on it. Is that the take away?
Mike Lambert: The way you phrased it almost sound administrative but what I want you to understand is that Brock and I, together, a number of years ago worked on several major initiatives and we will be taking the same rigorous process approach with intensity and with deliverables. So, there is not a lot of audit and overview, it is more action oriented.
David Newman - National Bank Financial: Okay.
Mike Lambert: I think we have done a lot of the research now it is time to bring them to life.
David Newman: And the second question with the operation 1 the West end quarter you are putting some initiatives in place in election quarter obviously you are looking for a very robust look in the second half and into Q4 on the bulk side. Are there any measures that you need to take to handle the increased level of volume to ensure that the network is fluid?
Kathryn Mcquade: We feel confident that we have adequate capacity in terms of our mobile assets, in terms of our crews and in terms of track on the Western quarter. I think I told you in the past, we have been powering up our coal trains. We have powered up our potash trains. We have also mentioned the longer trains, potash trains as well, which will add capacity. We have ECP breaking that for two train steps that we are implementing and in terms of crews and locomotives we are still very comfortable to handle the bulk that Marcella is projecting for the fourth quarter.  
David Newman - National Bank Financial: Is there a number that you can put on in terms of storage capacity utilization that you are at right now and what you might scale up to, in Q4 by taking various initiatives?
Mike Lambert:
 :
David Newman - National Bank Financial: So, you do not see phase 2 western quarter expansion in the next several years, Fred?
Fred Green: I think the secret is that if we can predict with comfort and certainty what the coal company wants to do, then we could consider that. I do not know what the coal company wants to do with regard to volumes so that is a bit of an unfortunate situation. So, we cannot go out and make a major expansion and then hope somebody ship things.
David Newman - National Bank Financial: Right
Fred Green: What we have been doing is being much more selective in places where we got good long term relationships and contracts, potash is a good example, and we are putting the capacity in place – in places where we cannot get priority or certainty from our shippers such as the coal situation. We need to keep our capacity very tight and if at some point in time we can get commitments from those shippers with regard to their intentions and a price that makes sense to us. We create the capacity.
David Newman - National Bank Financial: Excellent. Thanks folks.
Fred Green: Thank you
Operator: Your next question comes from Kenneth Hexter of Merrill Lynch. Please go ahead.
Kenneth Hexter - Merrill Lynch:
 : Great. I just want to go over, Mike, some of the numbers. If we go back to last April at the end of last quarter when you lowered the target of 440 to 460 from 465 to 480, that was a $0.20 to $0.25 reduction and you would say it is because of the CTA adjustment on the car rental cost. So, I guess that meant about $0.05 to $0.06 per quarter. If I take a look at this quarter with, as much as yields were down, it seems to be about a $25 million hit to revenues or about $0.10 for the quarter. Am I looking at that the right way where yield is hit in a bigger way than you would have been anticipated on the grain side or is there something else within those numbers?
Mike Lambert: No Ken, I think that we did quantify the CTA adjustment as a nickel. But it was a nickel to our original outlook. It was only $0.05 or less than $0.05 a quarter. It was only $0.05. So, no we have not been surprised by the amount and that is not what is causing us to reduce our guidance right now. It is, of the $0.40 reduction, it is $0.30 related to fuel, $0.20 of that is just in the price and $0.10 is on the lay.
Kenneth Hexter - Merrill Lynch: But I am not arguing the reaction this quarter. I fully understand what you were saying about fuel. I am going back to last quarter when you have lowered last quarter. I though that you have said in the first quarter conference call that the reduction was due to the CTA. Was it also due to other things?
Mike Lambert: Yes. We only reduced the guidance by a nickel related to the CTA.  
Kenneth Hexter - Merrill Lynch: So, of the reduction only a nickel was due to CTA in the first quarter?
Mike Lambert: Yes, that is right.
Kenneth Hexter - Merrill Lynch: So, that is what I am at. Then it would seem like the actual impact it seemed like even a little large in there, almost twice as big as that then? If I go between first quarter and second quarter revenue impact or even what a normalized gross rate would have been on a year-over-year basis if you would have yields flat.
Fred Green: But Kenneth – but we are not sure we understand the question you are asking specifically about grain, are you?
Kenneth Hexter - Merrill Lynch: I am. I am. Yes.
Fred Green: Okay. Sorry. That is maybe …
Mike Lambert: Yes. So just to give you a round numbers, grain was a nickel, fuel was about 12 and a half volume with around 12 and a half.
Fred Green: I think Ken’s question is with regard to grain, when he looks at the outlook or the numbers on the Q2, he was seeing like a big grain miss and Ken that is largely volume. There is the grain haircut, we call [Inaudible] haircut. But what you are really seeing with regards to the reduction in grain activity is the fact that the prices were so high that big farmers shipped, I will not say pre-ship but the advanced ship in an awful lot of product and now we are basically faced with about 50% to 60% of our normal volumes during July and August.
Kenneth Hexter - Merrill Lynch: That was helpful, Fred. That was actually the second part of my question was why volumes were down but what I did on the math is I held volumes flat with year-over-year and then using kind of a flat sequential pricing or even flat year-over-year pricing. It still seemed that revenues were down about $25 million which seems to be about $0.10 a quarter so it seem like the pricing was also maybe bigger than the pricing reduction of a 7% decline year-over-year. I am sorry 6%.
Mike Lambert: Let me quantify the haircut for you. The haircut in dollars is about $11 million a quarter and we had planned for some of that and that is why we provide the guidance only by $0.05 in total.
Kenneth Hexter - Merrill Lynch: Okay
Mike Lambert: Yes. So, I am sorry Ken that was the missing part.
Fred Green: The quantification of the hit is quite large but we have planned for that in our original plan when you saw the nickel, the nickel only reflected the differential that we were surprised by.
Kenneth Hexter - Merrill Lynch:
 :
Fred Green:
 :
Marcella Szel: It is 8% index increase.
Fred Green: So, last year -259 a ton plus the 8% price increase. That is as simple as that. That we are accruing that in the expectation that we have to take it but if we win our case then obviously that will be a good news story.
Kenneth Hexter - Merrill Lynch: And then it comes back
Kenneth Hexter - Merrill Lynch: Okay. And I just want to wrap up on that that subject and you were talking about the 44.5 million metric tons market as your outlook for the next crop year and that starts when?  
Marcella Szel: August 1, 2008.
Kenneth Hexter - Merrill Lynch: August 1, 2008. Okay. So, with the new contract. Okay. Thanks for the clarifications.
Fred Green: Thanks, Ken.
Operator: Your next question comes from Ed Wolff of Wolff Research. Please go ahead.
Ed Wolf - Wolf Research:
 : Yes. Hey guys. You know, it has been a long call. I will get you off line. Thanks.
Fred Green: Okay. Thanks, Ed.
Operator: Your next question is a follow up from Randy Cousins of BMO Capital Markets. Please go ahead.
Randy Cousins - BMO Capital Markets : One quick question. Your real estate or other income was down. Can you give us some guidance for the second half?
Mike Lambert: Yes. Randy, if you may recall in my commentary in the first quarter, I had alerted everyone that the second quarter would be lower than last year. Essentially, we will be down for the total of the year modeling – it is just the impact of this quarter, for the balance of the year we should be flat.
Randy Cousins - BMO Capital Markets : Okay. Thank you.
Operator: Your next question comes from [Cecilia Comia of Platz]. Please go ahead.
[Cecilia Comia – Platz]: Good morning. There have been reports that more US coals are moving to Asia because of the unprecedented rise in coal prices and this US coals are said to be railed some as far as Utah to the rest terminal in Canada. And it has been stated in this webcast that your Company cannot predict what coal companies want but could you just guide us about your Company’s plan of action if this development continues and how it can benefit from it in light of D&E?
Fred Green: Cecilia, at this point in time, of course, we do not source any US coal. We occasionally will terminate some coal at facilities on the current CP or should there be some on the DM&E. So, the answer is that, until such time that we consider whether we ever want to be a railway that sources the Powder River we are not at that point in our decision making at this time. There is no impact whatsoever on either the DM&E or on the Canadian Pacific franchise.
Cecile: My second question. Your Company’s move – as has been said – 7% more Elk Valley coal in Q2 2008 is this largely a result of increased demand for the material in Asia. Do you expect to move more tonnage for Elk Valley and for other Canadian Coal producers?
Marcella Szel:
 :
Fred Green: But to say for the second half, yes, we do expect good strong demand. It is within the range that we had foretold the streets cannot remember the exact numbers if it is 21 or 21.5 million tons total for the year. We are pretty much right on target for what we thought would happen and there is no reason to believe that will be different unless Elk valley shares that with the market place and they will share it with us at the same time.
Cecile: Twenty one to 21.5 is this for the second half or it is for the whole year?
Fred Green: I believe that was full year, absolutely full year but I don’t remember the exact number.
Marcella Szel:
 :
Cecile: And ma’am, that is just for Elk Valley.
Marcella Szel: Yes  
Cecile: What about for the other Canadian coal producers?
Fred Green: We are not going to make a …
Cecile: Metallurgical coal?
Fred Green: We are not involved with anybody … …except Elk Valley.
Cecile: Okay. Thank you.
Fred Green: Thank you.
Operator: This concludes the question-and-answer-session. Mr. Green, please continue.
Fred Green: Well, thank you everybody for spending time with us. We look forward to getting together again at the quarter and Luke, thank you for all your help.